Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2019 OGE Energy Earnings Conference call. At this time, all participants are in a listen-only mode. [Operator Instructions] I will now like to hand the conference over to your speaker today Todd Tidwell. You may begin.
Todd Tidwell: Thank you, Tuwana, and good morning everyone and welcome to OGE Energy Corp's third quarter 2019 earnings call. I'm Todd Tidwell, Director of Investor Relations; and with me today I have Sean Trauschke, Chairman, President and CEO of OGE Energy Corp; and Steve Merrill, CFO of OGE Energy Corp. In terms of the call today, we will first hear from Sean followed by an explanation from Steve of third quarter results. And finally, as always, we will answer your questions. I would like to remind you that this conference is being webcast and you may follow along on our Web site at ogeenergy.com. In addition, the conference call and accompanying slides will be archived following the call on that same Web site. Before we begin the presentation, I would like to direct your attention to the Safe Harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements, and simply states that we cannot guarantee forward-looking financial results. But this is our best estimate to date. I would also like to remind you that there is a Regulation G reconciliation for gross margin and projected capital expenditures in the appendix. I will now turn the call over to Sean Trauschke for his opening comments. Sean?
Sean Trauschke: Thank you, Todd. Good morning everyone and thank you for joining us on today's call. Earlier this morning, we reported third quarter consolidated earnings of $1.25 per share compared to a $1.02 per share in 2018. The utility reported earnings of $1.13 per share and our portion of enables earnings were $0.14 per share. Steve will discuss the details in a moment, but right now I want to highlight our third quarter achievements. Our service territory is growing. During the quarter, new customer growth was 1.1% as we added a record, 9,100 customers compared to third quarter last year. We're also continuing to see higher sales growth. Our load rates and economic development efforts are paying dividends. All of this comes together in terms of load growth. As I've previously mentioned, we are closely watching these positive trends which could increase load growth above our historical 1%. The latest economic statistics put Oklahoma's unemployment rate at 3.2% which is on par with the national average and then our largest loads in Oklahoma City unemployment rate is 3.1%. Since 2001, we've invested more than $6 billion in our system and customer rates are lower today than they were eight years ago. This year an S&P global article highlighted OG&E is having the lowest rates in the nation. This level of performance requires a continuous improvement culture throughout the company and a positive partnership with our customers and regulators alike. One example is the stewardship we're excited to share is how we're lowering the operational costs at the newly acquired River Valley facility. This plant previously had a 65% minimum requirement under the terms of the PURPA contract. Today we operate the unit when it is most economical for our customers without constraints or maximizing the fuel savings by introducing natural gas and optimizing the mix of Oklahoma and Wyoming coal with natural gas. With the current natural gas infrastructure in place, we're able to operate the boilers with a blend of 40% gas and 6% coal, NOx and SO2 are reduced by approximately 45% and 40% respectively, and we'd lowered CO2 by 20% on top of our previous productions. By operating the plant differently, limestone and ash production reduced as well decreasing our overall cost of production by almost $3 million per year for these items alone. These efficiencies create headroom for continued investment while maintaining reliable low cost generation for our customers. We've also successfully integrated the new acquired Frontier plant into our fleet and for the first megawatts upload into the SPP, the Southwest Power Pool on September 10. We've added operational flexibility at the plant as well. It was previously not offered over the weekends and only dispatched at specific contract output levels. Now that the units are in our fleet, we'll be utilizing their full dispatchable ranges to capture additional market value for our customer's benefit. I'm also pleased to announce that we will be adding two five megawatt solar projects in Oklahoma under our utility solar program tariffs. These projects are scheduled to be completed by the fall of next year and we expect these to be 100% subscribed before completion. And finally, we've just completed our first year of grid investments on a third of our circuits in Arkansas. The results are outstanding and exceeding our own internal modeling. For example, the safety performance of the upgraded circuits was 69% better than the three-year average and 47% better than what we'd modeled. Additionally, we've seen a 47% improvement in momentary disruptions as compared to our three-year average. The results are significant and provide great confidence for us as we pursue the second phase in Arkansas and began similar work in Oklahoma, all benefiting our customers. Turning to regulatory, we received the final order approving the settlement and our most recent Oklahoma rate review. The order provides for full recovery of our environmental investments in the Sooner and Muskogee plants. We're pleased this decade long journey of environmental compliance investments is complete. With the approval of the federally mandated expenditures now behind us, we remain forward-looking and firmly committed to providing customers with products and services in the most reliable and cost efficient manner. Toward that end, we're working with our commission and customers to build awareness of the need to further secure, strengthen, and automate the electrical grid. We're eager to share the successes from our Arkansas investments and present our plants for Oklahoma and in public meeting requested by the Public Utilities Division of the Oklahoma Corporation Commission next week. Speaking of Arkansas, we filed a new rate request under the Formula Rate Plan and requested a 5.9 million increase with new rates in place by April 1, 2020. This is our second update to the Formula Right Plan and we're excited about the streamlined process in Arkansas that expedites recovery, increases transparency and enhances detailed planning process. I did want to briefly discuss our financial position, on October 25, as S&P raised the credit rating of OG&E to A minus recognizing the strength of the credit profile at the utility. We increased the 2019 guidance at the utility to be between 1.74 and 1.78 per share and at the end of September, the OGE Board approved a 6% increase in the dividends. Going forward, you should expect the dividend growth in line with our long-term earnings growth rate of 4% to 6%. Additionally, we've updated our capital investment forecast. We have a large backlog of reliability, resiliency projects that will benefit customers and as we've done in the past, we'll continue to provide updates on additional value creating opportunities. Moving forward, we'll continue to work with the Oklahoma commissioner, staff and keep parties to ensure timely recovery for our distribution investments. Moving to Enable, on their call Wednesday, they reported solid results for the third quarter despite lower commodity price environment. They ended the quarter with a strong 1.4x distribution coverage ratio. In addition, they provided 2020 guidance and their financial metrics are projected to remain strong during this low commodity price environment. For 2020, Enable is projecting 1.3x distribution coverage ratio and adjusted debt to EBITDA ratio of 4x. Enable remains well-positioned with a strong balance sheet, ample liquidity and significant firm fee based cash flows. As we've said many times in the past, you build a strong balance sheet for the difficult times and they've done just that. As you know, Enable is and will continue to be a cash story for OGE. Later this month, OGE will receive more than $1 billion in distributions since the formation of the partnership. We will continue to use this unencumbered cash to support dividend growth and invest in the utility. In closing, I want to reiterate how pleased I am with the performance of both businesses. We are committed to executing on our strategy to continue growing our businesses and growing our communities and creating long-term shareholder value. Thank you. I'll now turn the call over to Steve to review our financial results for the quarter. Steve?
Stephen Merrill: Thank you, Sean, and good morning everyone. For the third quarter, we reported net income of $251 million or $1.25 per share as compared to net income of $205 million or $1.02 per share in 2018. The contribution by business unit on a comparative basis is listed on the slide. Turning to gross margin; gross margin at the utility was $67 million higher for the quarter due to the following; weather contributed approximately $36 million of margin as cooling degree days increased 17% compared to the third quarter of 2018. Compared to normal weather, increased margin approximately $15 million for the quarter. Year-to-date, weather has contributed $10 million of margin compared to normal and approximately $16 million compared to last year. Higher average prices contributed $26 million of margin compared to the third quarter of 2018; this was primarily due to the recovery of the Sooner scrubbers, Muskogee natural gas conversion offset by the exploration of Oklahoma's cogeneration credit rider. And finally, new customer growth contributed approximately $4 million. We added over 9,000 new customers to the system as compared to the third quarter of 2018 supported by our commercial and oil field sectors. At OG&E, net income for the quarter was $227 million or a $1.13 per share in 2019 as compared to net income of $184 million or $0.92 per share in 2018. O&M increased approximately $9 million primarily due to the new expenses related to our plant purchases in primarily River Valley. Depreciation increased approximately $13 million, primarily due to additional plant being placed into service, including the Sooner scrubbers. AFUDC also decreased nearly $6 million as we are seeing lower construction work in progress balances with projects being completed. Finally, income tax expense decreased $9 million primarily due to the amortization of excess deferred taxes and higher tax credits, partially offset by additional taxes on higher income. Turning to our investment Enable, they made cash distributions to us of approximately $37 million compared to $35 million received in the third quarter of 2018. Enable also contributed earnings at $0.14 per share in both the third quarters of 2019 and 2018. They ended the quarter with a distribution coverage ratio of 1.4x. Turning to the 2019 outlook, we're increasing our utility guidance to between $1.74 and $1.78 per share. The earnings contribution from OGE holdings ownership and Enable mainstream is projected to be at the low-end of previously issued guidance between $0.52 and $0.58 per share. Consolidated guidance projection has increased between $2.24 and $2.30 per average diluted share. The increased guidance at the utility includes approximately $0.11 of weather and various rider adjustments. This concludes our prepared remarks and will now answer your questions.
Operator: [Operator Instructions] Our first question comes from the line of Julien Dumoulin-Smith with BoA Merrill Lynch. Your line is open.
Richard Ciciarelli: Hey. Morning. This is actually Richie here for Julien.
Sean Trauschke: Hey, good morning, Richie. How are you today?
Richard Ciciarelli: Hey, doing well. Just had a question around your capital refresh. You guys had a pretty sizable increase of about 150 million on average per year. I'm just curious how you think about the utility growth rate and executing within the 4% to 6% range given the increase in the CapEx?
Sean Trauschke: Yes. Richie, this is Sean. We feel really good about the growth range and as we've done in the past, we'll continue to evaluate that and as we see opportunities to invest additional dollars for our customer's benefit we will do that. What we've tried to do here is keep it simple and adjust our growth rate based on last year's results and we're not picking the starting point or anything like that. I think the third point I'd say is, as we've done in the past we are going to deliver this growth rate.
Richard Ciciarelli: Got it. That makes a ton of sense. And then, just curious, you alluded to discussions with the OCC around strengthening and automating the grid. Just curious how you think about the potential for a grid modernization rider given the one ported to PSO although commentary from the settlements seemed to be a bit opposed for a rider. Just curious how you're thinking about that?
Sean Trauschke: Yes. Richie, great question. We've had a lot of constructive and very productive conversations with the commissioners and staff and customers. And that really what produced the staff wanting to have a public meeting next week for us to come forward and talk about all this. We're going to take that feedback and then we will be filing after discussions with the staff and the commissioners on what the actual mechanism would look like. I don't think the other riders that you were referencing they really have a whole lot of merit on what we're going to do.
Richard Ciciarelli: Got it. That's very helpful. That's all I had. Thank you.
Sean Trauschke: Thanks, Rick. Take care.
Operator: Thank you. Our next question comes from the line of Shar Pourreza with Guggenheim. Your line is open.
Constantine Lednev: Hi. Good morning. It's actually Constantine here for Shar. Congratulations on a great quarter.
Sean Trauschke: Hey, thank you. Good morning.
Constantine Lednev: Yes. Morning. So, yes, the big story seems to be the CapEx update. Just a kind of follow on to some of those questions. Just in a high level view, are the programs that you're applying to expand into kind of understanding that they're driven by the success of the previous program? Is it going to be just more of the same and kind of incremental in Oklahoma? And to kind of rephrase it a little differently as on a longer term sense, how you plan around kind of the regulatory requirements and the lag kind of given the conversations are just starting with the OCC.
Sean Trauschke: Yes. Good question. So, if your question was, are we going to do a lot of the similar activities we've done in Arkansas? Yes. And through that process, we're beginning the second round in Arkansas and we've learned a lot already and we're going to implement those learnings into what we do in Oklahoma. So this is something that I think just gets, that builds on previous success. As far as the recovery, we're going to work through that with the commission, do keep in mind that these are not large construction projects. So you're not going to have a lot of delay between the beginning and in service implementation. So, what we'd like to have is some sort of contemporaneous some recovery mechanism and we'll certainly work through that with the commission.
Constantine Lednev: Wonderful. And just without kind of moving into kind of 2020 or anything beyond there, can you talk from a high level, how kind of these programs contribute to the long-term kind of view there? And just kind of thinking about the runway for a lot of these resiliency programs and what do you see there?
Sean Trauschke: Constantine, I'm not sure I'm following. Are you -- is the question, what sort of runway beyond 2020, do we see as far as investment opportunities.
Constantine Lednev: Right. And so far the resiliency programs and kind of what's the kind of system needs that you're seeing?
Sean Trauschke: Yes. I would characterize it has system opportunities. We see a lot of opportunities to really enhance the value of the product we provide, but I'm also sensitive and what I liked the fact that our rates are lowest in the nation and that's really helped us increase demand on our system. And as I mentioned in my remarks, we're closely watching this load growth. There is some upward momentum there. But we've said before, we have a pretty big inventory of opportunities we see, and it's going to be a combination of kind of how the regulatory mechanism works and how successful we are implementing those. But, we're very confident that we have a long runway here.
Constantine Lednev: Perfect. That sounds great. Thanks.
Operator: Thank you. Our next question comes from the line of Insoo Kim with Goldman Sachs. Your line is open.
Insoo Kim: Thank you, and good morning. Just one question, given the increased CapEx forecast in the outer years, do you have a rough sense of when we could expect the next rate case filing in Oklahoma?
Sean Trauschke: Yes. We're going to have this public meeting next week and we'll take that feedback and input and you should expect us to be filing few months after that.
Insoo Kim: Got it. And then, in terms of the dividend growth again, I don't think you guys guide to a specific payout ratio target range. Is that something more on a growth basis with the 6% and 4% to 6% EPS you'll be somewhere within in line or close to the EPS growth range going forward for different growth?
Stephen Merrill: Yes. And I think what's more important to us is our FFO to debt ratio from a rate case perspective versus a payout ratio. But something in line with our earnings growth rate of 4% to 6% is a fair place to be.
Insoo Kim: Got it. Thank you very much. And congrats on earnings.
Stephen Merrill: Thanks. Take care. See you next week.
Operator: Thank you. Our next question comes from the line of Anthony Crowdell with Mizuho. Your line is open.
Anthony Crowdell: Hey, good morning. Sean, are you okay there? You seem like you're having like battling a little winter cold.
Sean Trauschke: Well, thank you, Anthony for your concern about me. I appreciate that. That's very kind. I think it just turned cold here, so I think it is starting to come on. So, but -- yes, I'm all right. Thank you for asking.
Anthony Crowdell: We're counting on you. Just remember that. Just is the CapEx increase rider dependent, if for some reason a writer doesn't get approved or something, does the level of CapEx change in your forecast?
Sean Trauschke: Yes. Anthony, we've had very constructive and productive discussions and based on those discussions, that's why we felt comfortable adding this CapEx out there. Okay. I don't want to get ahead of myself in prejudicing, the future outcomes and things like that, but it's safe to say that I'm very encouraged by the discussions we're having and the outlook we have.
Anthony Crowdell: And, if I get tied on, and maybe a similar answer, if I followed up on Insoo's question on dividend growth, the growth rate of dividend change or is that driven at all by the approval of a rider?
Sean Trauschke: Yes. I think again, we've kind of targeted the dividend growth rate to be in line with the earnings growth rate. And to your specific point, the FFO to debt from a credit rating perspective is an important metric for us. So, we'll watch both of those. Those are the big drivers more than it is the outcome of the mean individual rate activity.
Anthony Crowdell: Great. That's all I had. I hope you feel better and looking forward to seeing you in Orlando.
Sean Trauschke: All right. Thanks Anthony. Take care. Appreciate your concern.
Operator: Thank you. Our next question comes from the line of Charles Fishman with Morningstar. Your line open.
Charles Fishman: Thank you. This public meeting next week, was that just a precursor to the rate filing or is that something special or what is your expectations for that and what was that? What drove that meeting to be scheduled?
Sean Trauschke: Yes. Charles, this was just, in our discussions, I think it was the staff's idea that it would be good to have a public meeting. And so, that if you want to call it a precursor for filing, sure, it is, I think this is extremely positive. Encouraging others to communicate and make any suggestions or observations they may have. So, I think this is an entirely positive step initiated by the public utilities division and commissioners.
Charles Fishman: Okay. And then with the CapEx increase, still no equity in the three-year, five-year plan?
Stephen Merrill: No. Charles, this is Steve. There is no equity needs in the planning horizon.
Charles Fishman: Okay. That's all I have. Thank you.
Operator: Thank you. And our next question comes from the line of Paul Patterson with Glenrock Associates. Your line is open.
Paul Patterson: Hey, how you're doing?
Sean Trauschke: Hey, good morning, Paul.
Paul Patterson: Just, I apologize, I didn't fully get the increase in sales growth that you guys are now expecting.
Sean Trauschke: Yes. We didn't indicate that, but it's North of -- this year we've had north of 2% in sales growth, which is really strong. We've had customer growth of 1.1% year-over-year. And as we've talked before, we're watching this to see how all of this translates into load growth. But, we do believe that there's some upward momentum there and when we're comfortable, we'll update that for you as well.
Paul Patterson: Okay. So, I apologize for being a little confused. So you guys are looking -- you guys see something north of the 1% as I heard on the call, correct? You haven't flushed out what that would be? 
Sean Trauschke: That's correct, Paul. Our [stock] [ph] rates been at 1% of load growth and we've been talking for the last four or five quarters that there is some upward momentum there. But, there's a lot of modeling that goes on to forecast load growth and we're zeroing in on something.
Paul Patterson: So, how should we think about this CapEx increase in relation to your forecast for sales growth or, I apologize for being a little bit off -- a little bit slow on this.
Sean Trauschke: Well, I think that's a really good question. I think to the extent that, we have, we continue to see growth and we're able to continue to attract customers and new businesses and have increased sales growth. It gives you the opportunity to spread the cost over a larger base and therefore minimizing the customer impact. I think this is a huge positive.
Paul Patterson: Okay. Well, thanks so much.
Sean Trauschke: All right. Take care.
Stephen Merrill: Thank you, Paul.
Operator: Thank you. I'm not showing any further questions. I would now like to turn the call over to Sean Trauschke for closing remarks.
Sean Trauschke: Thank you, Tuwana. Thank you all for your interest in OGE Energy Corp., and for being on the call today. Have a great day. Take care.
Operator: Ladies and gentlemen, that concludes today's call. Thank you for participating. You may now disconnect. Everyone have a wonderful day.